Operator: Good morning, and welcome to the MGM Growth Properties Third Quarter 2018 Earnings Conference Call. Joining the call from the company today are James Stewart, Chief Executive Officer; Andy Chien, Chief Financial Officer. [Operator Instructions] Please note this event is being recorded. Now I would like to turn the call over to Mr. Andy Chien. Please go ahead.
Andy Chien: Thank you. Good morning, and welcome to the MGM Growth Properties Third Quarter 2018 Earnings Call. This call is being broadcast live on the Internet at mgmgrowthproperties.com, and we have furnished our press release on Form 8-K to the SEC this morning. On this call, we will make forward-looking statements under the safe harbor provisions of the federal securities laws. Actual results may differ materially from those projected in the forward-looking statements. Additional information concerning factors that could cause actual results to materially differ from these forward-looking statements is contained in today's press release and in our periodic filings with the SEC. During the call, we will also discuss non-GAAP financial measures in talking about our performance. You can find the reconciliation to GAAP financial measures in the press release, which is also available on our website. Finally, please note that this presentation is being recorded. I will now turn it over to James.
James Stewart: Thank you, Andy. I'd like to welcome everyone to MGP's third quarter 2018 conference call. This quarter, we continue to execute on our long-term strategy of acquiring market-leading assets with enduring value, returning value to shareholders through our dividend and diversifying our assets with our market-leading regional portfolio. On July 6, we completed the acquisition of the Rocksino Northfield Park in Cleveland, Ohio. After receiving interest from a number of well-known gaming companies, we decided to partner with MGM Resorts and entered into an agreement to sell them the operations for $275 million. We chose MGM for a number of reasons, including the benefits provided by the master lease structure, the MGM parent guarantee, its operational and financial strength and MGM's strong credit profile. As part of the master lease with MGM, our shareholders get the protection of having the rent supported by 12 other properties currently within the master lease and a net rent coverage of approximately six times, which we believe is the highest of any REIT which leases casino properties by far. In addition, the master lease benefits from a corporate guarantee from MGM Resorts, which means our cash rent is protected, not only by MGM's significant cash flows, but by its multibillion-dollar investments in its MGM China and City Center joint ventures. Finally, MGM has significant operational and financial strength and the state of the free cash flow target of $4.5 billion to $5 billion between 2018 and 2020. We are excited to partner with MGM on this transaction, which further demonstrates our commitment to executing on our business plan to position the company for future dividend growth and generate value for our shareholders. In addition, this transaction further contributes to our strong geographic distribution with approximately 50% of the cash flows underlying our properties being generated from our regional assets. A number of these regional properties were also star performers this quarter with the MGM Grand Detroit, Beau Rivage, Gold Strike Tunica and MGM National Harbor all achieving their highest quarterly EBITDA numbers in their respective histories. Our newest addition, the Rocksino, also recorded its best quarterly performance ever in terms of net revenue, EBITDA and market share, and it continues to lead the Cleveland market, generating more slot revenue than the other two competitors in the market combined. This acquisition reinforces our objective to own the number one facility in each market where we own a property. Once it becomes part of the MGM Resorts family, we believe this trend will only accelerate with the addition of MGM's award-winning M life Rewards Program and their operational expertise. We are extremely proud of the Rocksino team and their record-setting results this quarter. Looking forward, we see a strong trajectory for MGP, which includes four near-term growth catalysts: the closing of the acquisition of Empire City, the closing of the sale of the Rocksino operations, the automatic rent increase as a result of our industry-leading escalator, and the continued stabilization of the recently opened MGM Springfield on which we have a Right of First Offer. In addition, we believe there is a significant potential pipeline of opportunities, both within the MGM portfolio and the broader gaming and leisure universe, where we can partner with other high-quality potential operators, many of whom have already approached us to partner on prior potential transactions. I'm optimistic about the growth prospects available to us and believe our unique pipeline is highly attractive to both our existing and future shareholders. I will now turn it over to Andy to discuss our financial results.
Andy Chien: Thank you, James. I'll provide highlights for a few items in our financial results for the quarter. For the third quarter of 2018, we recognized $186.6 million of rental revenue on a GAAP basis and $192.6 million on a cash basis. G&A expenses were $3.4 million, and acquisition-related expenses were $4.4 million for the quarter. Net income was $69.9 million for the quarter, and adjusted EBITDA was $212 million. And AFFO was $154.8 million or $0.58 per share. Our third quarter dividend increased to $0.4375 per share, which represents $1.75 on an annualized basis. Our quarter end net leverage was approximately 5.5 times. On the balance sheet, we funded the acquisition of the Rocksino with a $200 million draw on our term loan A, a $655 million draw under the revolving credit facility with the remainder of the purchase price paid with cash on hand. The related interest expense is reflected in the REIT segment in the non-GAAP reconciliation, while the results of the Rocksino operations are in the TRS segment. This has the effect of increasing the interest impact on REIT AFFO with interest related to TRS cash flow from a comparability standpoint. As James mentioned, the Rocksino recorded its best quarter in its history. For the quarter, excluding the five days prior to close, the Rocksino earned $22.2 million of EBITDA, which is not being adjusted for the $1.6 million in management and license fees paid during the period. When this transaction closes, we expect that the excess cash flows from operations will result in an attractive net real estate acquisition price. The robust performance of the property in the TRS and the underlying market dynamics in Ohio solidifies our strategy of acquiring market-leading assets. Also this quarter, MGP increases dividend for the fifth time since going public in April 2016. The increase to $1.75 per share represents the increase of $0.07 per share year-to-date for total increase of 4.2%. We are looking forward to the $60 million of rent from the Rocksino and $50 million from Empire City being added to the master lease. Both transactions are expected to be accretive to AFFO and our dividend. Both properties will be part of the existing master lease and will receive an annual escalator of 2% on the fixed portion of the rent, which will further drive revenue and result in one of the highest same-store NOI growth rates in the net lease space. We expect to fund the Empire City acquisition with revolver borrowings and OP units, and we expect to repay the borrowings with the Rocksino proceeds. The strength and stability of our revenue, the strength of our master lease and our leading rent coverage are all competitive advantages that allow us to maintain and strengthen our financial profile to provide us with a strong foundation to explore and execute on a robust pipeline of opportunities. And with that, I'd like to turn it back over to James.
James Stewart: Think you, Andy. We'd like to thank all of our investors for their continued support. Operator, we would now like to open it up for questions.
Operator: Thank you. [Operator Instructions] And our first question will come from Shaun Kelley with Bank of America. Please go ahead.
Shaun Kelley: Hey good afternoon guys, or good morning out there. Just wanted to maybe start with the kind of obvious question, as it always comes down with these calls, on the broader acquisition environment. I think there was a deal overnight that was announced that continues to say that asset values seem to be – or pricing seems to be pretty robust out there. Can you just give us your sense on how were activity levels and has the recent capital market volatility had any specific or noticeable impact on what you guys are seeing?
James Stewart: I'll start, and then I'll let Andy comment afterwards. The general deal market remains very robust. The gyrations in the stock market and the debt markets have not seem to impact it very much. We see a lot of opportunities, both within the MGM portfolio and outside of it. And it is, from my perspective, as robust as it's been basically all year.
Andy Chien: And Shaun, the capital market activity, from a debt and equity standpoint, the access to capital has not been an issue for issuers as you can see with some of the other transaction activity in the space, net lease broadly speaking. And so they're still attractive places to place debt and equity prices, while there is some volatility, are still attractive for issuers. So we don't see any slowdown there.
Shaun Kelley: Great. Thanks guys. And then the only other question from me would just be, at a high level, there has been some concern about operating fundamentals out there as it relates to Las Vegas. Some of those are starting to look a little bit more in the rearview mirror after this past quarterly earnings report, but you guys are both based out there and watching this stuff very closely. Any thoughts on just the overall fundamental operating environment that's sort of underlying your properties?
James Stewart: Well, we have the great benefit of a terrific geographic distribution with half our – half of the cash flow that underlies our properties coming from the best regional network, by far, of any gaming company and half coming from Las Vegas. I am a bull on the long term for Las Vegas. I think that the value proposition offered is significantly better for a visitor here versus almost any other city I can think off. The entertainment options have only been increasing and will continue to increase. And just as a person who lives in town, I will tell you it does not feel like there's any slowdown. It feels very, very busy and a very robust market.
Andy Chien: And as James discussed on our prepared remarks, as a net lease company with a net rent coverage about six times, the business model is to not have impact from the operational performance of the tenants. And we have market-leading escalator that drives our growth, and we have the access to capital as well as acquisitions that further drive that growth. And so that's where, I think, our investors are focused as opposed to thinking about what quarterly performance is going to be of the tenants.
Shaun Kelley: Great thanks guys. I appreciate you taking the questions.
Operator: And our next question comes from Rich Hightower with Evercore ISI. Please go ahead.
Rich Hightower: Hi good morning guys.
Andy Chien: Hi, Rich.
James Stewart: Hi, Rich.
Rich Hightower: So maybe to follow-up on Shaun's question a little bit. Just within the context of potential large-scale M&A in Vegas and notwithstanding all of the great things that you guys are seeing out there and expect for the long term, what is the realistic, maximum concentration in Las Vegas you think you'd be comfortable with for the company?
James Stewart: It's not something we spend a great deal of time focusing on. We feel like we have a unique insight into this market versus any of our competitors and are able to really, deeply understand the drivers over the long term. As Andy mentioned, we do have six times rent coverage, which gives us a huge amount of cushion to handle any volatility that comes quarter-to-quarter, or year-to-year from the underlying operations. We focus more in any acquisition strategy on thinking through does the asset – is it accretive to our financial situation, does it have the enduring value to pay the rent through thick and thin for 30 years, and is this something that's going to be a market leader in its segment, sort of again for the very long haul. And we focus much more on that metric than really trying to drive what I would think of is sort of an artificial drive to geographic distribution.
Rich Hightower: Okay. That's fine. I guess maybe to follow-up on the coverage comment there. First, can you remind us where you guys are on a four-wall basis at the moment outside of the master lease? And then secondly, within the context of a hypothetical third-party deal, I know it's all asset specific, operator specific. But what's a four-wall coverage ratio that generally you think is prudent given the – sort of the average risk and average return profile that you guys contemplate…
Andy Chien: As far as four wall that's not something that we update or have in our filings, but I think all that information is readily available through MGM's supplemental filings that have property-level EBITDA. We think about it from a corporate guarantee standpoint, and we think that's where it's relevant. As far as property-by-property underwriting, as you can see in our investor presentations, we, as a – just a short hand, use the two times as a starting point, but each asset is unique. Each market is unique, and we'll make adjustments to that depending on the strength or potential risks in any given asset or future tenant if it's more of a master lease and a corporate guarantee. So every deal is different, and we look at them one by one.
Rich Hightower: Got it. Thanks guys.
Andy Chien: Certainly, thanks Rich.
Operator: Your next question comes from Carlo Santarelli with Deutsche Bank. Please go ahead.
Carlo Santarelli: Hey guys thanks. Good morning. As you guys kind of articulated the rationale with – in choosing MGM as the operator for the Hard Rock transaction. And I was just wondering, if you could kind of outline a scenario where let's hypothetically say MGM doesn't have any restrictions or something giving – in certain states as they may, but in a spot where MGM would be able to be your operator, a scenario in which you would choose another potential operator for the asset, just given the fact that the stage is laid out are obviously very compelling from a coverage perspective and whatnot?
James Stewart: I think the biggest constraint on that is, and I think this was outlined pretty clearly in yesterday's MGM earnings – or two days ago, MGM earnings call, is they are very, very selective in terms of the type of asset that they want to bring into their portfolio. And the likelihood of them going out and just kind of rolling up a number of properties is, I think, pretty low. So the first driver would be likely that I don't think they're going to be interested in many, many things, where, for us, it could still be a market-leading asset that has the enduring value components, the fit and finish that fits our portfolio and can pay the rent for 30 straight years. In that scenario, if they're not interested, of course we partner with someone else. To the extent that they wanted to do something, given the strength of the credit profile and ease of the lease, et cetera, on the margin, we would always rather do it with them for the very same reasons we outlined on the Hard Rock. I think it's more going to be a very, very selective acquisition outlook that they have as much as anything. Andy?
Andy Chien: I think that covers it.
Carlo Santarelli: Thanks you very much guys.
Andy Chien: Thanks Carlo.
Operator: And our next question comes from Thomas Allen with Morgan Stanley. Please go ahead.
Thomas Allen: Hey guys. Can you just give us updated thinking around the timing of Empire City and how you're viewing that property's performance over the past few months since you announced the deal?
Andy Chien: Empire City is a first half closing that we estimate. As far as the performance for us, it's going to be added to the master lease. So that's where we're focused. And I know that once MGM takes over operations, as James talked about, introducing M life and other things, the performance there will take a different trajectory than where it's been in the past.
Thomas Allen: Great. And then on sports betting, obviously there's been a bit of a ramp-up across states since your last call. As an asset owner, how are you thinking about the kind of proliferation in sports betting?
James Stewart: On the margin, it's a positive for us to the extent that it drives people into the building. It drives additional profitabilities and other amenities that can be added into the suite of things that people do when they walk into an integrated resort, but it's not going to be, for us, anything that moves the needle very significantly because what it will do is it will drive up, or I believe, will drive up our coverage over time and drive up our cushion to all of our escalators, et cetera. So I think it's a positive. But again, given the structure of this company as a net lease REIT, we're not going to get – we're insulated from both the upswing surges and the downswing surges.
Operator: Our next question comes from Robin Farley with UBS.
Robin Farley: Just thinking about MGM's comments that their goal, I guess, was to own 50% of MGP down from the 70% range within three years and without necessarily selling shares and thinking about that maybe would require kind of another $1 billion or so of equity issuance from you guys in terms of other transactions that you might do. I guess I wanted to hear your expectation for the rate at which you'd be $1 billion worth – transactions that would be fund with $1 billion or close to $1 billion of equity that wouldn't involve MGM rights. So if the goal is to have their percentage share be reduced, but you've been doing transactions that are still with them and their master lease, just thinking about what your expectations are for kind of the rate of transactions that you expect to do.
James Stewart: Well, there's a number of ways that we can accomplish that, Robin. One would be through transactions where they are not the operator. And as I've mentioned during the prepared remarks, it's a very active M&A environment. And then two, by acquiring assets that are within the MGM portfolio, including potential – the wholly owned assets, the joint venture assets, the improvements to things like Park MGM, Springfield on which we have a ROFO, to the extent that we require those for cash, those will also be events that will not drive down their overall stake, which we think is a fantastic advantage to our company but drive down the percentage ownership. We are extremely cognizant of not doing anything which will cause any kind of negative for our current shareholders, and I think that's been demonstrated in the way that we have purchased things here so far. And we can pace many of these items, particularly the things that we can do within MGM, and take assets down at a level where we certainly are not going to overwhelm the market. We also only want to do things that are accretive financially, so everyone of these should be good for our shareholders. All that said, we're going to proceed at a measured pace to continue to drive AFFO, and ultimately, the dividend, such that it's going to be attractive for all existing shareholders and new shareholders.
Robin Farley: And your executions at that level, is it also that it would take three years to get there in terms of that level of whether it's equity issuance or just that volume of transaction, is that also something that you wouldn't expect for – until three years from now?
James Stewart: It's very difficult to predict, just because many of the transactions which we're talking about are big. The Hard Rock outside of Cleveland, that was a north of $1 billion transaction. That's just one asset. Now it is a fantastic asset. It's a market leader in the market by far, but still, it's a big transaction. And each one of those types of transactions has a binary outcome. You either do it or you don't. And so trying to put a time frame on it, for us, in terms of – the rate of that is very hard, just because if something – if we're successful in bringing something in, it's hard to predict and it could be – well, it's very, very hard to predict, which is one of the reasons we've shied away from trying to give too much guidance in terms of time frames as to when things gets done. Each one of the – it's a binary outcome, and they're all things that really can move the needle. So it's very hard to predict.
Robin Farley: I appreciate the color. I was actually thinking that three years out would seem like a long time to go without you guys doing a transaction of that size since it only implies maybe $60 million or maybe $70 million of EBITDA for an asset but almost sort of anything that you did outside of MGM would – I guess depending on how finance...
James Stewart: Well, I don't want to be too – it's – MGM said within three years. It isn't exactly three years that would all happen. So I think – look, between the catalysts we have on the stock sort of immediately, Springfield, which is a ROFO, which we have a one of them, a number of other transactions like – we feel pretty good about where we sit right now in terms of that statement.
Operator: The next question comes from Daniel Adam with Nomura Instinet.
Daniel Adam: So apparently, there are some investors who think a deal between yours and VICI's largest tenant could make a lot of sense. Without necessarily commenting on specific deal rumors, just hypothetically speaking, to accommodate a transaction of that nature, would it be necessary for the REITs themselves to merge to better align everyone's interest?
Andy Chien: I don't think that's a necessity. Real estate, just broadly speaking commercial real estate standpoint, having different landlords is commonplace. And so in our leases, we don't ask for any competitive information, and tenants are comfortable signing up leases with landlords that have properties with other competitors and other markets. And you can see that in our space as well, so I don't think that's a necessity.
James Stewart: No, by no means.
Operator: Your next question comes from Cameron McKnight with Crédit Suisse.
Cameron McKnight: So first of all, in terms of Springfield and the ROFO you have there, how are you and the board thinking about the competitive set and the potential supply impact there?
James Stewart: Well, we – Springfield only opened in August 24, and so it's still really in the mode of ramp-up to its stabilized EBITDA production. I would encourage anyone who hasn't been there, especially if you're in the East Coast, to take the drive out and check it out because I think you'll be amazed at just how gorgeous that property is. And I think given the expense to it, the fit and finish, the M life program and MGM's operational expertise, that it is going to be an absolute home run and will be the best property out there by far. When you build something like that, which has been demonstrated through thick and thin in every market – you take a look at the Borgata in Atlantic City. When Atlantic City is a basket case, the Borgata is still going strong. Take a look at MGM Grand in Detroit. When Detroit, the city goes bankrupt, the mayor is sent to jail, GM goes bankrupt, Fiat – Chrysler, Chrysler get sold to Fiat, et cetera, the MGM Grand Detroit continues to perform. So when you build something that has the quality, the fit and finish and the operations that, that asset is going to have, I feel really good about what it's going to produce.
Cameron McKnight: Perfect. Great. And then just following up on sports betting. Within MGM and MGM's JV with GVC, how do sports betting revenues flow through the organization and end up supporting rental coverage?
Andy Chien: Cameron, I think through the – because we have a corporate guarantee from MGM, all things that increase profitability of the tenant are beneficial from increasing the quality of our credit, if it generates incremental cash flow, improves the balance sheet, further improves the credit. So it's through those benefits that we see a strengthening of our tenant and our lease through the increased profitability and revenue generation of our tenant.
Cameron McKnight: Okay. Perfect. And just to be clear, it's the dividends out of – or distributions out of the JV that flow to the corporate guarantee?
Andy Chien: Well, it's a broader corporate parent guarantee. It's not a cash flow claim per se. But those cash flows that flow back to the parent, they stay with the entity and they help the balance sheet.
James Stewart: Help with the equity unit, right. It's the whole, the cash flows and the asset would both be ultimately responsible for helping to pay the rent.
Operator: Our next question comes from Barry Jonas with SunTrust.
Barry Jonas: Just following on Cameron's question, is there a specific – like do you have a sense of timing for when you'll have discussions with MGM to exercise the Springfield ROFO? I seem to – I believe you were able to give that sort of color for the National Harbor asset.
James Stewart: Well, using National Harbor and – as a blueprint and looking at other assets that have opened up, although you can never be certain, we're hopeful that after Springfield operates for a year, which will put us sort of in the second half of next year, we should be able to determine its long-term EBITDA production capability with relatively high security and knowledge base. And that's our sort of thoughts internally as to where – when discussions would start on that.
Barry Jonas: Okay. Great. And then just – your two gaming REIT peers both issue formal guidance. Just curious if that's something you have or would consider.
James Stewart: It seems pretty dangerous to me to do. You can certainly try to do it. And again like using the Hard Rock as an example or Yonkers, just north of New York City, as an example, that – one was $1.6250 billion. The other was around – roughly the same. How you can be certain those are going to go your way or not seems difficult for me to predict since, again, the outcomes are binary. And...
Andy Chien: And then on the earnings front, because we don't have any percentage rents, unlike the other two REITs, our earnings are highly predictable. And the first REIT, that isn't until 2022 when that recalc happens. So I think from a – just a baseline earnings, it's very predictable.
James Stewart: Yes.
Operator: [Operator Instructions] Our next question comes from Brandon Travis with Ladenburg Thalmann.
Brandon Travis: I'm on for John Massocca. On the topic of larger transactions with MGM, what is the gating factor on maybe buying one of the larger assets on the Strip, such as the Bellagio or MGM Grand?
James Stewart: Well, the gating items are having to figure out exactly what we would buy, negotiate the transaction and then negotiate how we would fit into the master lease, and then ultimately, execute on it. I think the likelihood of our doing any deal at one point in time that's that big is pretty low. What we would probably do is look to buy parts of a larger campus over time such that we don't have such a onetime sort of big deal. So that would be how we would think about it, and we would do components of those over time as we see fit given negotiations have to occur, of course, with MGM.
Operator: And our next question comes from John DeCree with Union Gaming.
John DeCree: Just wanted to ask a high level your thoughts on kind of the balance sheet and financing. You've got Northfield Park with cash and the credit facility and you've got Yonkers coming up, I guess, in the first half of '19. As it relates to your kind of leverage targets and thoughts on kind of interest rate direction, how are you thinking about managing the balance sheet here and then through the first half of '19?
Andy Chien: Sure, John. I'll take that. It's – with respect to Empire City, we'll have about $250 million that we'll fund in cash, and we'll likely just do that with the revolver. And then we'll have the proceeds of Hard Rock come in, so that will be – repay those borrowings effectively. As far as leverage goes, our target has always been five to five-and-a-half times. We're right at the higher end of that range or at the low end of that range, and that's part of why we fund it, the Rocksino, all cash. And then the subsequent two transactions will be deleveraging both Empire City and then the Ohio proceeds coming in, so we'll be kind of squarely in the middle of that range. With respect to capital market activity, we'll be opportunistic and looking to do kind of fixed rate unsecured debt to take out the revolver borrowings over time. And we're pretty optimistic about the access to capital and not having the need to do any of those kind of financing transactions. And so we'll have that luxury to be optimistic about it.
John DeCree: That's helpful. Just a question to go back to Northfield and how you approach that transaction using a TRS and then kind of taking inbound inquiries from other gaming companies. Wondering if you could talk a little bit about how that strategy works, advantageous to be able to provide the seller with a quick, clean exit? Would you consider using a TRS in the future and kind of look to find their parties that way? Or did it kind of function as you thought? Just any kind of thoughts on your strategy with a TRS and kind of buying whole assets on a go-forward basis.
James Stewart: It isn't our first choice, to be honest, if we can help it. In that scenario, given the seller really only wanted to deal with one party, which was us, it allowed for the most – the quickest and sort of easiest way for him to achieve his goals and for us to achieve our goals. We also had no one just from our traveling through Ohio and looking at all the other different assets, et cetera, and speaking with different operators that this would be something where I thought the risk on bringing in an operator at a price that was pretty advantageous for us would be very low. I mean, it's a – I mean, I don't know if you've been out there, but it is a really fantastic asset. The team is awesome. The EBITDA production is just excellent. So when we looked at it, we thought this is something that really fits with our portfolio. It fits with the market-leading aspect. Anytime you have a market leader by that margin in a region, people are going to want to own it and operate it. It's really accretive to everyone's transaction. So I thought the risk there was very low. Now if we had thought the risk was high, if you buy something in a really competitive place that is not particularly nice or great, I think that, that would be – that buying into a TRS would be a very bad strategy because you're just not going to have the operator interest. So really, that was what drove our thinking there.
Operator: And this will conclude our question-and-answer session. I would like to turn the conference back over to James Stewart for any closing remarks.
James Stewart: Thank you very much. I'd just like to thank everybody for your continued support and look forward to speaking in the future.